Operator: Good morning, ladies and gentlemen, and welcome to Boralex Third Quarter 2025 Financial Results Conference Call. [Operator Instructions] Also note that the call is being recorded. [Operator Instructions] Finally, media representatives are invited to contact Camille Laventure, Senior Adviser Public Affairs and External Communications at Boralex. Her contact information is provided at the end of the quarterly press release. I would now like to turn the conference over to Coline Desurmont, Director Investor Relations for Boralex. Please go ahead.
Coline Desurmont: Thank you, operator, and good morning, everyone. Welcome to Boralex Third Quarter Results Conference Call. On today's call, Patrick Decostre, our President and Chief Executive Officer, will provide an update of our business. Afterwards, Stéphane Milot, our Interim Executive Vice President and Chief Financial Officer, will present the financial highlights of the quarter. Then we will be available to answer your questions. . During this call, we will discuss historical as well as forward-looking information. When talking about the future, there are a variety of risk factors that have been listed in our different filings which can materially change our estimated results. These documents are all available for consultation on SEDAR. Mr. Decostre will now start with his comments. Please go ahead, Patrick.
Patrick Decostre: Thank you, Coline, and good morning, everyone, and thank you for joining us today. It's a pleasure for me to present our results and achievements for the third quarter of 2025. The total combined production for the third quarter increased by 9% compared to the same period of 2024, primarily driven by the contribution of newly commissioned sites, in Europe. The third quarter clearly reflects the benefits of our diversification by technology and region. While wind conditions in North America had been compensating for unfavorable conditions in France since the beginning of the year, the situation completely changed in the third quarter. Conditions in France while still below expectations were more favorable than in North America. Combined EBITDA was $108 million, down $1 million compared to Q3 2024. The increase in production was not sufficient to offset the negative impact of lower prices of short-term power purchase agreements in France. During this quarter, we continued to make progress across our development project portfolio, adding 395 megawatts of new projects. Additionally, for convicted solar project in the United States reached the secured stage, adding 250-megawatt AC to our growth path. This quarter is also marked by a significant headway in construction and commissioning of major projects in Canada. We now have 3.4 gigawatts of assets in operation in our 4 key geographies and 558 megawatts of projects under the construction and ready-to-build stage. In particular, the commissioning of the Apuiat wind farm co-developed with the new communities is a key strategic milestone for Boralex. Apuiat is the first wind farm on the Cote-Nord region and a powerful symbol of the revival of Quebec wind energy. As we wrap up our 2025 strategic plan and look ahead to 2030, Apuiat illustrate our vision of sustainable growth and our deep commitments to the energy transition. We would like to thank our team for their resilience, adaptability and focus that were key to deliver this landmark project. During this quarter, we also continued to make progress with the construction of our projects in Canada. In Ontario, the construction of the 2 battery storage projects, Hagersville and Tilbury is advancing as planned, with commissioning scheduled by the end of the year. We were thrilled to share that Hagersville was recognized by the Canadian Renewable Energy Association, CanREA with the innovative Canadian Clean Project -- Power Project of the Year award. This recognition reflects our commitment to innovation and active contribution to the energy transition. It is part of a series of acknowledgment that highlight our dedication to sustainable development, which remains at the core of our business strategy. The Des Neiges Sud project is also progressing well as we have started building the wind turbines foundation at the site in recent weeks. Turning to market updates. Quebec continues to show strong momentum in renewable energy development amid rising pressure to meet growing needs energy needs. The upcoming Plan de gestion intégrée des ressources energétiques expected in April will provide a detailed assessment of days needs and could introduce more ambitious targets potentially requiring Hydro-Quebec to revise its capacity expansion plans upwards. At the Federal level, the latest budget introduced a 15% clean electricity investment tax credit equivalent to the 30% clean technology investment tax credit already available further enhancing the investment landscape for future projects. In Ontario, the ISO launched its long-term 2 RFP, LT2 to support new energy and storage capacity. Boralex submitted a proposal during the October energy window and is now advancing preparations for the second phase. The December capacity window further strengthening our position in this key growth market. In the United States, NYSERDA along its 2025 renewable energy solicitation with final results expected in February 2026. Boralex is preparing to submit bids supporting its expansion in this market. In the United Kingdom, the United Kingdom remains a strategic market for Boralex with strong growth ambitions over the coming years. The AR7 procurement round is currently open with submission deadlines scheduled between November and January. Our U.K. team is actively preparing to submit competitive bids. In France, Boralex participated in the onshore wind call for tender last July, and we are pleased to announce that we were awarded 2 projects totaling 125 megawatts, placing us first in cumulative capacity. Across the tender, 42 projects were awarded out of 90 submission at an average tariff of EUR 86.6 per megawatt hour. This results confirm our strong position in the French onshore wind market and highlights our ability to deliver ambitious project under competitive conditions. Contract awarded to Boralex will benefit from above the average prices confirming the excellence of our bidding teams. I will now briefly review the main variances in our development project portfolio and growth path. The decrease in our development project portfolio was mainly due to the transition of Fort Covington solar project to the secure stage. The disposal of our portfolio of small solar project in France and the revision of the installed capacity of a battery project in Ontario, partially offset by the addition of 395-megawatt of wind and solar projects in the early and mid-stage. In total, our portfolio of early, mid- and advanced stages project now consists of projects totaling more than 7 gigawatts of wind, solar and battery storage projects. In the third quarter, our growth path represents a capacity of 1,030 megawatts, reflecting a net increase of 147 megawatts compared to the previous quarter. The transition to the secured stage of Fort Covington solar project in the United States partially offset the commissioning of Apuiat in Canada. In addition, the [indiscernible] repowering wind project in France with a total planned capacity of 14-megawatt move from the secured stage to the construction or ready-to-build stage during this quarter. This completes my part of the presentation. I will now hand over to Stephane, who will provide a more detailed overview of our financial results. I will be back later for the Q&A session. Stephane?
Stéphane Milot: Thank you, Patrick, and good morning, everyone. So thanks for being on the call with us. I understand there are a lot of companies reporting today, so very busy day for all of you. As mentioned by Patrick, the regional contribution to the production and overall results changed in the third quarter compared to the trend we had observed in the first half of the year. Total combined production was up 9% compared to the same quarter last year, mostly driven by the impact of newly commissioned facilities in Europe. It is important to consider that production in the third quarter of 2024 was weaker than expected, which explains why the year-over-year comparison looks good. While when we compare to the anticipated production of the third quarter of 2025, the production is 13% lower. This decrease was due to unfavorable weather conditions in North America for wind and hydro and to a lesser extent, for wind in Europe. Our combined EBITDA amounted to $108 million down $1 million, primarily due to the impact of lower prices of short-term contracts in France, partially offset by the commissioning of new assets. Discretionary cash flows amounted to $9 million, down $7 million compared to the third quarter of 2024. I will now provide a more detailed overview of our quarterly production. Production for wind assets in North America was 8% higher compared to the same quarter last year. However, production came in 16% below expectations, mainly due to lower contribution from Canadian wind farms and the delayed commissioning of the Apuiat project. Production from hydro assets was 15% lower than last year and 16% lower than anticipated, mainly due to unfavorable weather conditions in the United States. Production from solar assets in the United States was 3% higher than the same quarter last year, but 9% lower than anticipated. In Europe, total production was 19% higher compared to the same quarter last year, but 9% lower than anticipated, mainly due to unfavorable condition in France and a longer-than-expected outage at a Limekiln wind farm in August to undertake plan worked on the transition line. Regarding our balance sheet, available liquidity and authorized financing totaling -- total, sorry, $811 million as of September 30, an increase of $288 million compared to the December 31 of last year. Total debt increased to $4.4 billion, with project debt accounting for 87% of the total. During the quarter, we continued to advance our financing strategy in support of our growth initiatives and capital diversification. In France, we have repaid our construction facility following the previously announced incremental tranche of $164 million added in July under the term loan of 2 wind farm portfolios. Finally, on the CSR front, as we advance our 2030 strategic plan, sustainability remains central to our operation from workplace culture to community engagement. So this third quarter we made tangible progress across our strategic pillars, sorry, including project development, commissioning and partnership. In a dynamic market environment, our teams continue to execute with discipline and determination. We submitted wind projects under Ontario's LT2 request for proposal in October and are actively preparing for upcoming procurement rounds in the U.K., Ontario and New York. With a strong development project portfolio growing demand across our markets and solid financial flexibility, we are well positioned to deliver on our strategic objectives and create long-term value for investors. This completes my part. I will now hand it to the operator for the question period.
Operator: [Operator Instructions] And the questions come from the line of Baltej Sidhu from National Bank of Canada.
Baltej Sidhu: So just on the France strategy, could you provide any incremental updates or share your current view thinking regarding the French strategy, particularly in relation to contracts rolling off and your views around recontracting, repowering their potential sell downs, which is notable in light of the announcement from yesterday?
Patrick Decostre: Yes. Essentially, the -- all the decrease in the end of the contract that we signed in 2022 was known and scheduled. And then we have a clear path and strategy to say we want to contract, the price going forward, a certain percentage of our generation, expected generation with a certain percentage as close as we are to the real time, say, okay. So 2 years in advance or 3 years in advance, we start contracting and then this percentage increase. So we are catching the right price and not speculating on the price. So that is one side for the -- in operation. What we have to and you have noticed that we have a repowering strategy that we had before in 2020 and 2021 that we put on the shelf a little bit during the high price period and the high-price window and now we have that again. So for example, 1 of the 2 projects that we just got awarded is the Ally reporting was an increase from 39 to 104-megawatt project with a great price for the next 20 years. So this is part of also of our strategy in France. And considering the limited amount of new project authorization, the repowering strategy is a great strategy that we will continue to have in France to increase the revenue and secure them on the long term. If I could add...
Stéphane Milot: Go ahead, Baltej.
Baltej Sidhu: Yes. Sorry. So I just wanted to add, I think France still has a goal of embedding I think 10-gigawatts of onshore wind capacity through 2028. So just given the contracts are rolling off and to Patrick's comment that it's more beneficial to repower just given the plan and such that we could probably see Boralex looking at more repowering opportunities in that regard. Would that be a fair assumption to see?
Patrick Decostre: Yes. And on top of this, it is clear that there was some I would say, instability in the French government the last year. And now we have beginning of the week when the Prime Minister and the Minister of Energy declared the award of the last tender. They confirm that the next subject on their file is -- on their desk is the [indiscernible] the planification of the energy, and this is needed for renewable industry, but also for the nuclear industry. So there is a lot of pressure in France to release these documents and that is expected in the next weeks or months. You mentioned during the fall. So the fall is not long.
Stéphane Milot: And also, Baltej it's -- as you know, it's taking a bit longer now to COD project in France. So it's sure that we have a very strong pipeline. But the year 2026, 2027 are, I would say, lower than what we would like them to be in terms of addition of capacity, but it's ramping up after. So there's 2 things there. We will work for sure, on efficiency improvement during that period. And also, we believe that the situation in France could eventually lead to potential transaction. We'll be looking at this market carefully knowing that for however, that as we've talked in the past, that U.K. and U.S. are 2 areas where we want really to focus in terms of M&A, but France is -- could become an interesting region if the market remains tough.
Baltej Sidhu: Great. That's great color. And just another one for me, if I may. So it's great to see the 250-megawatt for Covington solar project advance to the secured stage in the U.S. Could you share any updates on the other project, the 200 megawatts for [ 2 Rivers ] and how discussions are progressing there?
Patrick Decostre: Yes, they are really next -- going ahead next, it's the fact that on the cut of the quarter for Covington make it probably next month -- next quarter, sorry, [ 2 Rivers ] will do it again. So it's -- we're really working close to close on this project and consider them to take a financial -- and final investment decision beginning of next year. The team are working hard on that.
Operator: The questions come from the line of Nelson Ng from RBC Capital Markets.
Nelson Ng: I had a quick follow-up on your French project commentary. So I think, Patrick, you mentioned that one of your wind projects will be repowered to the size of 104 megawatts. So that's pretty big for a wind project in France. I think they're usually a lot smaller. Like are -- is the -- are the size of your developments in France increasing? Or was this more of a one-off size?
Patrick Decostre: Thank you, Nelson. It's a good question. In 2005, Ally was the largest site in France for all the market, and it seems that it will continue. So it's a repowering and expansion of the project. We are changing -- we are today distribution connected. We will be transmission connected. So it's a place where there is room for reporting an extension. But it's clear that we're working sincere to increase the size of the project. And that's why, for example, we have sold some small solar project, and we are always looking to increase the size of the project. So this is something that is on our side, too.
Nelson Ng: And then just switching gears a bit. So you announced that you've entered into a 5-year contract with the -- for the 50-megawatt Milo wind project in New Mexico. I think when you bought the portfolio in New Mexico and Texas, a few other projects were either merchant or going to be merchants in a few years? I think is it [ Harrier and LongHorn ]? Are those facilities merchants? And are there plans to contract them under like medium-term contracts? And then just finally, could you just talk about the market? I presume power prices have moved higher or demand has moved higher given that there's a lot of data center talk in that region?
Patrick Decostre: Yes, that's -- you're right, and we have some inbounds on customers and potential partners on this project, too. So the team is working to like anywhere in Boralex to optimize the asset value. And so this is the case in New Mexico and ERCOT, generally speaking.
Operator: [Operator Instructions] The questions come from the line of Mark Jarvi from CIBC.
Mark Jarvi: Patrick, you brought up the Quebec situation maybe just update us in terms of when you think the next RFPs come and just sort of the status of involvement potentially for Boralex on these gigawatt scale wind cooperative projects?
Patrick Decostre: Yes. Essentially, we are -- there is some, say, rumors in the market that it could be soon, but we will see what Hydro-Quebec and the government will decide going further. It's sure that there is some interesting factors somewhere, which are the fact that the export will start in New York next April. I think the export into Massachusetts will start in December. So all this will increase the demand somewhere in Quebec. So we are doing our job as much as possible to be prepared to be the good partner of Hydro-Quebec on this project, and we're also preparing us if there is an RFP for 350 and under RFP that Hydro-Quebec will do the classical procurement process. We are also ready to bid project there. So we are working on this.
Mark Jarvi: If you had to say the probability of securing another contract in Quebec is it more likely on the bilateral negotiations or through the Costco RFP process?
Patrick Decostre: Yes. I think what I'm saying is I am asking the team to work on both scenarios because it's the best way to increase the probability, whichever scenario will come. But I cannot tell you which scenario Hydro will decide in terms of first procurement and afterwards, if we will be competitive on both, but we're trying to be competitive in both scenarios. And due to all the demand in Quebec, I think potentially both scenario will come. So we should be prepared for both.
Mark Jarvi: Okay. And then with the budget earlier this week in Canada, there was a mention of potentially introducing domestic content requirements for eligibility for the tax credits. Do you see that as a risk? Or do you think being a company that's developed in Canada for a long time gives you an edge on that in terms of procurement versus newer entrants to the Canadian market?
Patrick Decostre: Yes. This is something we are [ wanting ] to ring, but we're not seeing that as a big risk presently.
Operator: We have no further questions on the phone line. So I'll hand back to you for any webcast questions that you may have.
Stéphane Milot: Good. Maybe a point before we -- so is there another question?
Operator: No, we have no questions.
Stéphane Milot: Okay. Maybe a point before Coline doing the closing remarks. I just want to remind everyone that we -- there's going to still be a price effect in Europe for the fourth quarter and -- but also there's going to be contribution from COD site, Hagersville, Tilbury and Apuiat so just is there. It's going to be positive and a negative outside of the normal weather conditions and as always, December -- well, Q4 is a strong period for us. So we hope that the weather will be on our side for this quarter. Thank you.
Coline Desurmont: Well, thank you, Stephane, and thanks, everyone, for your attention. Our next conference call to announce fourth quarter results will be held on Friday, February 27, 2026 at 11:00 a.m. Have a nice day, everyone, and a nice weekend.
Patrick Decostre: Thank you.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you.